Thomas Denny: Good afternoon, ladies and gentlemen. Thank you for joining us for RWE's Conference Call on the Nine Months Results today. I'm joined by our CFO, Michael Muller. Michael will lead you through the main highlights and the financial performance of the first nine months of 2021. And after that, we'll move on to Q&A. But before we start, let me remind you about our Capital Market Day next Monday. For those of you who have not yet registered, don't forget to sign up. You'll find the registration link on our website. The final countdown has begun and we look forward to welcoming you to this event next week. And with this, let's kick it off. Over to you, Michael.
Michael Muller: Thank you, Thomas, and good afternoon to all of you. Our performance in the first three quarters is good and we are making strong progress on our growth program. At the end of September, adjusted EBITDA from our core business stood at €1.7 billion, thanks to strong earnings from Supply & Trading. Adjusted EBITDA of the group reached €2.4 billion. We confirm our full year guidance for 2021 after raising it in July. Since the beginning of the year, net debt has decreased significantly to €2.9 billion, based on reduced pension provisions, a strong adjusted operating cash flow and margin inflows. We are making great progress on our construction program and have lined up all projects to reach more than 13 gigawatts by the end of 2022. As part of this, it is a real achievement that all turbines at our offshore project Triton Knoll have been installed. In the onshore wind and solar business, we are also progressing well. Recently our first onshore wind project from the acquired development pipeline in France was commissioned. Our development pipeline is also strongly growing. We were successful in the German offshore wind auction and have been awarded with a 225 megawatts wind project. Together with our partner Northland Power, we've executed our step-in rights for a 433-megawatt projects of the German Coast. In onshore wind and solar, we have expanded our pipeline with the joint venture with PPC to jointly develop renewable energy projects, particularly solar projects, in Greece. And finally, a word on the MoU we have signed with Shell. We are stepping up our efforts to build a European hydrogen economy. Jointly with Shell, we want to develop projects to produce, use and sell hydrogen. We intend to initiate large-scale projects in the U.K. for the production of green hydrogen using offshore wind. We also want to explore options to use hydrogen in electricity generation. The MoU also covers activities to decarbonize gas and hydro, biomass power plant. Let's now take a look at the earnings development in the first three quarters. Adjusted EBITDA of the core business stood at €1.7 billion, driven by the outstanding performance of the Supply & Trading business. An adjusted EBITDA of a good €600 million after three quarters even topped the previous year's great results. The Hydro, Biomass and Gas division increased their earnings year-on-year based on a strong day-to-day optimization of the power plant dispatch and higher British capacity payments. Nevertheless, adjusted EBITDA remains affected by the negative one-off effects due to the Texas cold snap in the first quarter of this year. Both wind divisions have suffered from weaker than normal wind conditions, particularly in contrast to the very strong Q1 last year, which was well above average. Group adjusted EBITDA, including the solid performance of coal and nuclear, stood at almost €2.4 billion and is above previous year's level. In Q3, around 400 megawatts have been commissioned, leading to a total addition of 800 megawatts year-to-date. Among others, the two U.S. onshore wind farms Cassadaga and West Raymond entered commercial operation. The later is part of the sell down in Texas, we told you about at the end of last year. At the end of September our installed capacity in wind and solar stood at 9.5 gigawatts. I'm very pleased, that we have lined up all our projects to meet our target of more than 13 gigawatts by 2022. In Q3, we have taken investment decisions for 500 megawatts of which the majority is expected to be commissioned by the end of 2022. Projects are a mix of onshore wind and solar projects located in the U.S. as well as France, Poland and Germany. Let's continue with the performance of the individual division. Adjusted EBITDA, for the offshore wind division, amounted to €656 million after nine months. Earnings were lower, as wind conditions in all three quarters of this year have been weaker than normal particularly, in contrast to the very strong wind levels last year. These negative effects were partly compensated by the full consolidation of Rampion as well as income from the pre-commissioning phase of Triton Knoll. Gross cash investments of €1.5 billion were mainly spent at our U.K. offshore wind project Triton Knoll and Sofia. We confirm the outlook for the division of €1.05 billion to €1.25 billion for the full year. Moving on to the onshore wind and solar business on page 7, adjusted EBITDA amounted to €36 million at the end of September. The main driver is the negative one-off effect of minus €400 million linked to the Texas cold snap in February. The booking from the farm down of our four assets in Texas, realized in Q1 and Q3 partly compensated for this, both the fixed and non-recurring items. Below normal wind conditions compared to the strong previous year brought down earnings further. The additional capacity could not compensate for this fully. Gross cash, investments amounts to €1 billion which is spread over various projects such as the 200-megawatt Hickory Park Solar project with co-located storage and 200-megawatt onshore wind projects [Indiscernible]. For both wind farms we now expect commissioning in 2022. Additionally some smaller European projects are also included in the CapEx number. Gross divestments stem mainly from the farm-down of the Texas assets. We confirm the outlook of €50 million to €250 million for the full year. Our Hydro/Biomass/Gas division achieved an adjusted EBITDA of €430 million. This is a €50 million increase year-on-year which resulted from higher earnings in the day-to-day optimization of our power plant dispatch as well as higher earnings from the British capacity market. Overall, the division performed as expected and we confirm the guidance of the full year of €500 million to €600 million. Moving on to the Supply & Trading division, the performance of the Supply & Trading division in H1 was extraordinary and they continued their success story with a good third quarter. Adjusted EBITDA amounted to €609 million even exceeding the very high results from last year. For the full year we reiterate the outlook which was increased to significantly above €350 million at the end of July. Having now reported on the core business let's move on to Coal and Nuclear division. Adjusted EBITDA for Coal and Nuclear stood at €720 million. Year-on-year earnings increased due to higher realized hedge generation margins. This year's earnings profile is much more balanced. This is why we have seen a stronger third and second quarter than in previous years. Costs associated with the German coal exit and those with the flooding in the middle of July partly reduced this effect. Besides all, in lignite we saw a negative margin effect from outages. These were offset by higher earnings due to an increased availability in nuclear. We confirm the outlook of €800 million to €900 million for the full year. Moving on to adjusted net income. Adjusted net income topped €1 billion after nine months, which is in line with the good development of adjusted EBITDA. Year-on-year, the adjusted financial result has significantly improved as we recorded a negative one-off last year. Adjustments in tax are applied with a general tax rate of 15%. For adjusted minorities, we keep our guided level of minus €100 million for the full year. This is driven by the full consolidation of Rampion, as well as the commissioning of Triton Knoll. Adjusted operating cash flow reflects the impact on net debt from operating activities. This is adjusted for special items and other effects that pans out over time. At the end of Q3, the adjusted operating cash flow amounted to €1.8 billion. It results largely from negative effect in working capital, which can be attributed to the seasonal increase of gas storage levels. Changes in provisions and non-cash items are mainly driven by legacy and restructuring excess as well as book gains from the farm down of the four US onshore wind farms in Texas. The payment from the German article auction, which we received in the third quarter partly compensated. Turning to the development of net debt on page 14. Net debt decreased to €2.9 billion. This relates to the very good adjusted operating cash flow and timing effects. Another driver is the change in financial provision by roughly €800 million, resulting from higher discounts rates. As introduced in the last earnings call, we provide more details on less variation margins for our power generation hedging activities over the liquid tenor and the respective cash flows. This includes margins from the sale of electricity, as well as margins on the respective fuels and CO2. In the first nine months, we recorded a net outflow of margins from power generation hedging of €3.2 billion compared to year end. In September, prices for power started to increase. At the same time carbon prices remained unusually flat. This has led to a significant net outflow of variation margins. As of September 30, our net position from variation margins for our power generation hedging amounts to minus €1.7 billion, which had a negative impact on our net debt. This position will unwind over the next five years. All these numbers are, of course, based on the assumption that commodity prices will stay stable. If commodity prices and interest rates remain stable, the leverage factor should be well-below three times net debt to core EBITDA at year-end. Finally, moving to the outlook for the fiscal year, we reiterate our earnings guidance for the year 2021. As such adjusted EBITDA of the core business will range between €2.15 billion and €2.55 billion at the year-end. Adjusted EBITDA for the RWE Group will be between €3.0 billion and €3.4 billion and adjusted EBIT between €1.5 billion and €1.9 billion. Adjusted net income will range from €1.05 billion to €4 billion and we confirmed the dividend target of €0.90 per share for this year. With this, I conclude my remarks and hand over to Thomas.
Thomas Denny: Thank you Michael. We'll now start with the Q&A session. Don't forget to save some questions for the Capital Market Day on Monday too. Operator Jeff, please start the Q&A session.
Operator: Thank you. [Operator Instructions] The first question comes from the line of John Musk from RBC. Please go ahead.
John Musk: Yes. Good afternoon everyone. And two questions from me on the renewables side. We've heard a lot from other operators and developers on supply chain issues particularly I believe in solar versus wind. And I just wanted to ask your opinion on that. Are you seeing any issues in any of your development? And what is the reasoning behind solar perhaps being more impacted than wind? Is that due to shorter development cycles on those assets? And then secondly, just if you can strip out the weather impact within renewables year-to-date. You mentioned wind being below for all three quarters. So what's been the impact of that on EBITDA?
Michael Muller: Yes, John, thanks for the question. Let's start with the supply chain issues. Indeed the issues are currently more around solar, that's mostly related to the general global logistic backlogs that we are observing in the economy and that is also impacting those projects. But at the same time, this is nothing that kind of overall from a company perspective is concerning. So I would say that in the range of typical operational issues you have in construction projects. With respect to the weather effects, Thomas, do you want to give some details.
Thomas Denny: Yes. So in the current year, we had an effect of roughly €150 million across our renewable fleet from the below-average wind conditions in 2021.
John Musk: Okay. Thank you.
Operator: The next question comes from the line of Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. So I had two questions. So, the first one is, Michael, would you be able to comment on your views on the pre-agreement with the coalition parties where they would ideally want to phase out coal by 2030? And if -- and what kind of quicker overview would you want from that? And the second question on variation margin, just -- it's more a clarification. So obviously, this quarter you've seen a huge outflow. And so now your net position is basically a receivable of €1.7 billion whereas in first half it was basically a payable of €1.9 billion cumulative. So just wanted to make sure that I got the signs if that are right? Thank you.
Michael Muller: Yes, Deepa, thanks for your questions. Let's start with the variation margins. So you got the numbers exactly right. I mean, obviously, in the bucket of variation margins, there are other variation margins and then timing effects included, but with respect to the hedging variation margins that we comment on the numbers I precisely what you quoted. Your question on the pre-agreement of the German coalition. I mean obviously we now have to wait what is in the final document and how they take it forward. But I think in principle, it's very much in line with our strategy, because also in this coalition agreement, it's not only that they are talking in this pre-agreement, they're not only talking about coal. They are especially talking about accelerating the build-out of renewables, and they are also talking about the potential need for backup capacity. And that's exactly our strategy that we always say well, if you want to phase out coal, you have to do that via a quicker build-out of renewables. You have that via build of grid and you also have to care about the security and supply. So that's our business model going forward. So actually looking at these pre-agreements that's pretty much supporting our strategy.
Deepa Venkateswaran: Okay. And any specific I think in one of the media comments you had made you said that for an early closure -- basically the right adjustments will have to be made for all parties. I don't know what exactly you meant from an RWE perspective. What you would seek for the early closure?
Michael Muller: I didn't fully get the question, Deepa, sorry. 
Deepa Venkateswaran: No. I mean, I think previously you've said that for an early exit by 2030 basically all parties concerned and I'm sure it involves you will basically need to have structural adjustment or something? I think that's something that I read in a newspaper quote. I was just wondering whether particularly on the early coal exit, whether there would be specific asks from RWE of the government keeping in mind your assets your unions, et cetera.
Michael Muller: I think, Deepa that's too early to judge. I mean first we need to see kind of the coalition in place. And I guess that definitely will be -- we talk and then we need to see what the situation is like. So it's too early to speculate on details. 
Deepa Venkateswaran: Okay. Thank you.
Thomas Denny: Thank you, Deepa. Next question, please.
Operator: The next question comes from the line of Rob Pulleyn from Morgan Stanley. Please go ahead. 
Rob Pulleyn: Hi. Good afternoon. Thank you. Two questions if I may. So firstly continuing the theme on variation margins. So the picture you painted there Michael was versus what you disclosed at the first half there's a €3.6 billion outflow on that explicitly disclosed variation margin. But the delta on the slide for your -- for the other flow is more like €1.4 billion. And so I'm wondering what the offsetting circa €2 billion was in this equation? If you could as far as possible just sort of explain some of the moving parts. I think that would be super helpful. The second one if I may in terms of German coal. I appreciate it's incredibly politically sensitive. However, one thing I presume we can discuss is that the recultivation provisions would of course come forward a little bit in time for the Garzweiler lignite mine. And I was wondering if you'd care to give us an assessment on what that could mean to the carrying value of the provision on the balance sheet? Thank you very much.
Michael Muller: Yes, Rob thanks for your question. On the variation margins, yes, you are right. The delta outflow compared to the half year is €1.4 billion. The difference is variation margins in trading on the strategic CO2 position and also other timing effects that are in that bucket. Concerning the impact of recultivation provisions that's too early to tell. In the end that's also very dependent on whatever -- if there is agreement how does it look like. So that's something we need to look at once we have more clarity.
Rob Pulleyn: Okay. Fair enough. Thank you for the answer on the first part. If you wouldn't mind a little follow-up then on one of the previous questions and that's cost inflation. Some of your peers have given a long list of reasons as to why the impact might be relatively small in terms of costs, which have been secured steel which has been locked in on long-term supply contracts or CapEx contingencies. I understand the message for RWE is also somewhat measured that you think this will pass and not be too material. But could you give us a little bit more color and confidence around what actions you've taken in your supply chain to protect yourselves? Thank you very much.
Michael Muller: Yes, Rob, I think my read would be very much in line with also our competitors I'd say. I think the key message is in the end, yes. There are some impacts, but yes they are not on a level that really impacts our economics of projects. As I said there I think I talked about that in the last call of the half year. Obviously in projects you typically have contingency that's covered for a cost increase. If there are any and at the same time obviously it depends on the status of the projects. So projects that are already in construction typically all the costs are locked in. And when you talk about early projects obviously if the entire market goes up that should also lead to higher prices in auction. So that should also be an impact. There are some projects kind of in between that do see an impact, but at the same time I mean -- it's always -- it needs two-to-tangle. So obviously there's competition with suppliers so not necessarily all the cost increases from suppliers in the end in our budget. And at the same time, I mentioned that also last time when you look at the economics of projects, yes, CapEx are a driver of the economics. But at the same time you also have to look at yields, at scale that is what is the scale-up of the technology you're using. So there are various components. So that in the end the impact of -- on the economics of the project is not material.
Rob Pulleyn: That’s fair. Thank you so much. I’ll turn it over.
Thomas Denny: Thanks, Rob. Next question, please.
Operator: The next question comes from the line of Lueder Schumacher from SocGen. Please go ahead.
Lueder Schumacher: Yes, good afternoon. Two questions also on my side. The first one is on Hydro/Biomass/Gas division we don't tend to talk that much about. But at the H1 stage, you warned that earnings might come down as a result of a normalization in terms of earnings from optimization. Now with nine months results, we no longer have this warning in there and you have told us that you're making strong gains from optimization. Now you did mention earlier €50 million. Not quite sure if this was referring just to the Delta to last year, which of course is almost €50 million, or is this the additional earnings you have from optimization? And also linked to that so if you could quantify the impact on that. Is that something you're still experiencing now, or has the market kind of calmed down after the mayhem we have seen in Q3? My second question is related also to the variation margin but in a slightly different way. I just find it amazing. I mean you had a swing in cash outflow just on that, as Rob just mentioned, €3.6 billion in Q3. I mean that is enormous. So I would have thought that you would have been very busy in Q3 lining up all these credit lines. I mean how can you deal with this kind of volatility? And also how can smaller players maybe not with the same kind of banking connections deal with these massive cash outflows from generation margins. Are you seeing that markets are still functional? Is there still enough liquidity? And also linked to that of course is are you concerned about counterparty risk when markets are as extreme as they are at the moment? 
Michael Muller: Yes. Lueder, thanks for your question. I mean first about the Hydro/Biomass/Gas. So the €50 million I talked about is the year-on-year comparison. So that's including all the effects. I mean the second question you asked about the day-to-day optimization. So you're fully right. The day-to-day optimization is very much dependent on the market situation in the respective months. And we have been a little bit more careful in the H1 call that – I mean you see the tightness in the market and that is obviously an opportunity if you have flexible assets in the market to have been profiting from that in Q3. I mean it needs to be seen. In principal, Q4 obviously is also an ideal time for having those assets. But again, it's very dependent on the situation. So if the winter becomes as little wind and is cold, there should be upside. At the same time if we get a windy Q4 and higher temperatures, it can be the other way around. So that's why we are typically careful in giving more flavor to that number. But I mean be assured, I guess from the setup we are having and with the capabilities, we are well positioned to capture that value if it's available under the prevailing market conditions. Secondly, your question on liquidity. Indeed, that's a very relevant question. So if you see those moves, they are really significant. But that's kind of part of our regular liquidity management. So our liquidity management is always based on a buffer concept. So we have a short-term liquidity buffer, which should enable us to react to those short-term movements in the market. And then we have a longer-term buffer, which then kind of looks at longer-term movements on our liquidity side. So that's all secured and we could utilize that. I mean with respect to credit, yes, of course. If you look at the current prices with notional increasing that also brings up – I mean obviously, depending on which side you are brings up credit risk of the counterparties, we are exposed to and probably also the other way around for counterparties, they are exposed to us. So that's true. But we're still kind of looking at our credit risk portfolio are confident and not concerned about any situation there.
Lueder Schumacher: You make the sound as all very normal and business as usual. And I just wonder how your usual liquidity buffers, would have been able to deal with the highly unusual market conditions we have seen in Q3?
Michael Muller: No. I mean I think one point is fair to say, in that situation, our liquidity buffers have increased, yeah? So the volatility in the market has led to additional liquidity requirement. What I just want to reemphasize is that the management of liquidity that we have in place is perfectly suited for those situations and has worked. But you are right, there has been an increase of liquidity demand, which we have fulfilled given kind of regular measures like CPs or credit lines that we either have in place or that we have added to our portfolio.
Lueder Schumacher: Okay. Thank you.
Operator: The next question comes from the line of Alberto Gandolfi from Goldman Sachs. Please go ahead.
Alberto Gandolfi: Thank you. Hi. It’s Alberto Gandolfi. I have two questions. The first one is, again, apologies to go back to it, but on cost inflation. Just a couple of details here. First of all, can you confirm your Sofia project has been largely locked in from an equipment perspective and you're only exposed to logistics, and hopefully by 2026 the situation will have normalized? And secondly your -- well, your slide 5 still on cost inflation is very interesting. Could you maybe specify, so what you said earlier about no big impact. It definitely means that up until 2022 included, you don't see a meaningful impact. I was wondering if maybe you can shed some light perhaps on the IRRs you are achieving on those projects or maybe on the EBITDA over CapEx we should expect from just that slide specifically? And the second question is to go back to the Coalition three agreement. The wording it's quite interesting, carefully chosen about examining the creation of the foundation, which potentially could deal with the decommissioning of coal and lignite liabilities. And I was wondering, if you have any comment on that were you involved in it, because these are private assets owned by you. So when a government suggests the creation of a foundation, how would you react to that? Thank you.
Michael Muller: Yeah. Alberto thanks for your question. Let's start with the second one. We were clearly not involved. So therefore, also my comment would be, we don't know exactly what’s kind of the underlying thoughts -- what are the underlying thoughts. And I guess, we need to wait for the final agreement, and then see where potential discussion takes us. But so far, nothing we really understand in detail and we need to take a look at that once it's kind of clear in the final agreement or the new provision starts to work. Concerning cost inflation, your question on Sofia, Sofia is not fully hedged yet. So there are some exposures still remaining. But I just -- because I foresaw that question, I just looked at the numbers, and I can reconfirm my statements. There are some minor effects, but they are well in the contingency of the project and nothing we are concerned about. And finally on the IRR, I mean I just can invite you to the Capital Market Day on Monday, which I sure Alberto you will attend. And for sure, we also say -- share a few more comments on IRRs and returns going forward in the Capital Markets Day presentation.
Alberto Gandolfi: Looking forward to that. Thank you.
Michael Muller: So do we Alberto. Thank you. Next question please.
Operator: The next question comes from the line of Peter Bisztyga from Bank of America Securities. Please go ahead.
Peter Bisztyga: Hi, thanks for taking my question. A couple from me. Firstly, we've already seen you perform very well in the third quarter on your, I guess, conventional power generation fleet. And I'm sort of thinking about 2022, you must have unhedged exposure both in your merchant renewables and in your UK CCGTs for example. The current forward prices are very attractive. And we saw Energie yesterday significantly increased its achieved sort of hedge prices for the next few years. So, I was wondering if you could just sort of confirm that you do have on hedge exposure but you are taking advantage of these current market conditions to enhance your achieved hedged prices for the next year or two? So, that's my first question. And then my second question really just sort of looking at the other side of that whole inflation discussion to the extent that you're having PPA negotiations of counterparties both in the US and Europe. Could you confirm that you're seeing an ability to increase PPA prices and to actually pass through some of these costs? Is there any actual evidence of that happening already?
Michael Muller: Yes, Peter thanks for your question. About the first topic. I would come back to my invitation to the Capital Market Day. So, today we only want to focus on 2021 and any comments on the years to come we will reserve for the Capital Markets Day on Monday. Concerning your question on PPA, I would rather take a general -- answer with a general comment. I mean what we are observing is that rising power prices in the market and then driving CO2 prices and the consequent power prices, I think brings some additional momentum to the whole PPA market because customers are now trying -- are starting to rethink their hedging behavior. I think the same is true that like in the last years we have seen that retailers only have hedged a pretty short notice. So, I think there will be some rethinking that potentially can lead to upside in PPAs. But that's more like a very general comment, specifically on inflation, I wouldn't comment. So, that's more like the general scheme in negotiation with PPAs where we see raising interest from customers.
Peter Bisztyga: Thank you. Maybe given that you can answer my first question if I could ask a question about Q4 this year about your trading business. We heard EDX sort of indicating that they were struggling a little bit with power price volatility in October. So, I was just wondering if there's anything you can say about how your trading business has performed so far in Q4, whether there's anything we need to be worried about?
Michael Muller: Sorry that I also have to lock that question. I mean we don't comment on results in an ongoing quarter.
Peter Bisztyga: Fair enough. Might as well try. Thanks for your answer to my second question.
Michael Muller: Thanks. Take care.
Thomas Denny: Next one please.
Operator: The next question comes from the line of Vincent Ayral from JPMorgan. Please go ahead.
Vincent Ayral: Yes, very good afternoon. So, if I speak to this year's numbers. I will ask a question. When we look at the nuclear and coal -- you already accelerated 20 at the nine months and your range is 800 to 900. Given the current commodity market, is this scenario where we could expect to see some upside versus guidance. The second question I want to ask about the supply chain. It's been quite a few times. I'll talk about that the gas. Your working capital for gas has increased materially exclusively. You made an allusion to it. Can we have some sort of quantum there because obviously we have seasonality into the working capital. It comes from the injection yes, but these has to reverse, but it will be interesting for us to how much it represents. Thank you.
Michael Muller: Yes. Vincent, thanks for your question. So the first question, is on nuclear. I mean as you know those positions are typically fully hedged. So I don't expect any upside from the current market level for our nuclear fleet. I mean on gas, I didn't fully get your question. I mean -- but we typically don't comment on kind of -- are you asking for kind of what are the outflow and inflow from gas but that's something, we typically don't comment on in detail.
Vincent Ayral: Yes. So then on the nuclear we may be fully hedged any incremental volume versus plan normally isn't hedged is it if you do better on performance. And whether you had it or not does that mean that 120 seem quite ahead into the year versus the 800 to maximum 900. Is it a fair comment that you're likely to be towards the top or maybe beyond would have been the question there.
Michael Muller: I mean in principle, obviously, you are right. Like we typically, hedge our power plant assuming an average availability of those assets. So assuming that there would be a higher availability than kind of the average one we forecast there are some upsides, but at the same time I mean it's a symmetric risk profile. And assuming that we kind of have the average assumed, I would say kind of it's fairly balanced, yes. So nothing, where I kind of would specifically comment on.
Vincent Ayral: All right. I may ask -- my question number two is canceled I'd like to see, if you could comment quickly on renewables. You may not be 100% hedged on the renewables and you have some merchant exposure. Any material impact or at this stage, or is it something for the future I guess than it seems. 
Michael Muller: I mean with renewables it is very much the same. I think first of all we hedge kind of the exposure that we typically expect to be produced. And we commented also in the half year call, that following the Texas event we also have reviewed our hedge ratios to be -- to avoid that we are squeezed. And therefore, we have reduced the hedge ratio of our renewable assets. So there may be some room, if there is good availability and then strong wind. But I mean, that's kind of the typical volatility in earnings that we comment on, is kind of inherent in the renewables business model. Yes. So I wouldn't comment -- it may be a little bit more pronounced because of prices yet, but it's kind of the regular volatility you see on our wind segment. 
Vincent Ayral: Okay Thank you.
Michael Muller: Thank you, Vincent. Next question, please.
Operator: Next question comes from the line of Sam Arie from UBS. Please go ahead. 
Sam Arie: All right. Thank you. good afternoon, everybody. Thanks for this presentation very helpful as always. I have one question on the net debt and then one sort of big picture question, if you don't mind on sort of the future of the universe and where we're going and so on? On the net debt just quickly to give us import and I apologize, if I missed something earlier, I did lose contact with the call briefly, but did you comment on where the net debt might end up at the end of the year?  And if you didn't if anything you could share there that would be helpful with us. I'm just noticing on your consensus tracker that you sent around. We -- sort of collectively I think we did an okay job on earnings for the nine months, but we were quite a ways off on net debt and there's a lot of moving parts in the cash there. So I'm just wondering, if we need to improve I think on the end of the year. And well maybe I'll have a go at that one and then I'll come back on my future of the universe question.
Michael Muller: And Sam, we also want to keep some challenge for you. If we guide everything that would be too easy. No, I'm just joking. I mean on net debt, we typically don't guide a precise number. I mean what we say is that, we expect if market conditions prevail to be below the 3.0 net debt to core EBITDA which is our leading KPI for net debt but more apologies I cannot guide you on.
Sam Arie: Okay. Well maybe I have more luck with my big picture question. We just finished our big European conference. And I had an interview last night with a politician who was involved in the Glasgow Conference. And one of the comments I was a bit surprised to hear was that, there were a lot of concerns among delegates in Glasgow particularly as you mentioned the US delegation about climate policy being to blame for the recent sort of gas and energy price crisis that we've been going through. And my view and I think a lot of others on this call probably share it that climate policy has got not very much to do with it actually or maybe only rather marginal contribution to the situation. So, I just to kind of give you the opportunity to share an RWE view on why we've been in this gas price spike? And what really are the drivers of where you see it? And to what extent do you think it has anything to do with climate policy? 
Michael Muller: Yes. Sam so that's definitely a question I can answer. I would take it from two angles. The one is on gas. I think that the situation we are observing on gas is not related to climate policies. I mean what we observed here is clearly we have a - well to some degree I'll mention I mean one aspect is it's the recovery post-COVID where the industry is picking up and simply the demand for energy is increasing again. There are I would say two elements that are related to climate policies. One is obviously the high price of CO2 which leads to the fact that gas should be consumed in order to fuel switch from coal to gas. And that puts additional kind of demand on gas and therefore also pushes up gas prices. That's the one. The other one more from a macro perspective what we're also seeing is that, financing of conventional assets especially on the coal side. So coal mine becomes -- and also gas exploration becomes increasingly difficult investments or maintenance investments or investments into new assets has been reduced in the last years. And that obviously brought down the supply especially on the coal side and led to an increase of scarcity and therefore increasing gas prices. The second dimension is obviously CO2. I mean the whole situation not around as I said gas prices somehow impacted because higher CO2 prices should lead to a fuel switch and therefore higher gas demand. But higher CO2 prices obviously leads to higher power prices. But having said that, I mean in the end that's exactly what climate policies always wanted and also should be. So, what we're currently observing is and we see that in those auctions like take the example of the German auction which we were successful in where we entered with a 0 bit. And that's obviously because market prices now for renewables are at a level where renewable energies are competitive with conventional generation. So, the target of climate policies to bring up renewables to a competitive level has worked out. I think what the whole discussion shows is -- and that's actually what we always have been saying that, we now need a discussion not only around climate protection, but more importantly about social issues. So how do we ensure that the public accepts that situation? And the second one is also around industry policies. Because in the end, I think we don't win if all the industry either goes down or goes to other countries. So, in the end what we now need is a discussion between those three elements: The social dimension, the industrial dimension and the climate protection dimension of that discussion. And I think there is now a good chance to have that discussion and bring it to solution. And then clearly overtime with more build-out of renewables prices should then eventually come down. I think we are now just in that in-between phase where we need further build-out of renewables and therefore the higher price levels will maintain for some time. 
Sam Arie: Listen, very helpful Mike. And I had to say I think you should jump out of plane and go make those comments at Glasgow before they wrap up. But of course, people wouldn't want to fly. So you'd have to jump on a train and a boat or something. Thank you very much for your comment. Very helpful. 
Michael Muller: Yes, Sam, you are welcome.
Thomas Denny: Thank you, Sam. Next question please?
Operator: [Operator Instructions] And the next question comes from the line of Piotr Dzieciolowski from Citi. Please go ahead.
Piotr Dzieciolowski: Hi, good afternoon everyone and thank you for the presentation. I have two questions. So, the first one on the accelerated coal phaseout and lignite phase out. If you assume these assets are decommissioned by 2030, how do you SRW [ph] calculate the capacity build-out need and in terms of gigawatt of the gas new capacity or any other form? And would -- is it fair to assume that that would require more or less full-fledged capacity market or some form of auction mechanism? And second question I have on the PPA level. I was looking at the third-party vendor of PPA prices in Germany. And I've noticed that on the standard 10-year PPA for solar wind they went up by €10 roughly in last half year. And I just wanted whether -- you to confirm or deny whether that's the case and kind of the PPA levels that are available in the market or the final investment vision that you gave were the better prices on the PPA than it was the case half a year ago?
Michael Muller: Yes. Thanks for your question. I mean, first on the capacity build out. So, a clear yes, we would see the need of capacity payments or some kind of remuneration around capacity in order to get the build-out of additional capacity. I mean, the number of potential build-outs obviously depends on whom you talk to, but it is at least a double-digit number for sure, so probably a lower to mid double-digit number although I would foresee. But please keep that question for Monday because, that's something we definitely will talk about at our Capital Markets Day. Second topic around PPA prices, I mean, I wouldn't talk about specific prices because also in the PPA market, you have to be careful what is the reference. Is this a base node, or is it a pay as produced price and that may vary significantly. But indeed, like you said, and I mentioned before, we see increasing interest in PPAs of our customers, and obviously also PPA prices reflect increasing CO2 prices and expectation of higher CO2 prices and thus power prices going forward.
Piotr Dzieciolowski: Okay. Thank you, very much.
Thomas Denny: Thanks, Piotr. Next question, please?
Operator: The next question comes from the line of Olly Jeffery from Deutsche Bank. Please go ahead.
Olly Jeffery: Hi, good afternoon everyone. So, three questions for me. The first one is just on P50 [ph] wind. Given it's been a very low wind year. Have you guys been doing any studies in terms -- are we doing studies internally to see if there is right to be some concern about potentially the impact of climate change P50 or are you happy with where they are internally? That's the first question. The second one is just, is there an update on the UK on compensation the mining provisions or expectation around timing on an announcement on that. And the last question is just coming back to the potential decommissioning foundation mentioned in the coalition policy document. Have you had any discussions at all with the coalition on that to have a greater insight into what is meant by that? And do you think there's a possibility that that could stretch to include operational lignite assets and the coalition taking over control of the lignite assets all the way through, do you think there's a possibility that could occur? That's my question. Thank you.
Michael Muller: Okay. I think since you broke up with a two question answer, I have to answer them quickly. I mean, on the decommission foundation no we haven't been in conversation with them. And so we also don't have – I have not been in discussion with them, so we also don't have any details. On the €2.6 billion also, no further information so the EU Commission are pursuing their regular processes and we haven't heard anything more than that. And finally, on the low wind here, I mean, bear in mind that last year was an extremely strong wind here. So I think that, we are not doing any studies. So that's kind of just a regular volatility you see in the renewables business. Does that answer your question Olly?
Olly Jeffery: Yeah. No, it does. Thank you. Just perhaps maybe on the just on the coalition point and like, I want to presume you can't really comment on whether you think there's a possibility it might expand to looking at the operational asset, or would you wait to hear more detail?
Thomas Denny: I think as you say, I mean, there was one statement in a 10-page document, but it was really lacking the details. So I think it's really too early to start taking something more detailed out of the one sentence, which was in the document. So I think we'll have to wait a few more months into more details out.
Olly Jeffery: Fair enough. All right. Thanks very much.
Thomas Denny: Thank you. Next question.
Operator: The next question comes from the line of Ahmed Farman from Jefferies. Please go ahead.
Ahmed Farman: Yeah. Hi. Thank you for taking my question. Just on the first one, I was wondering, if you could share with us your expectations around the operating cash flow and CapEx for the fourth quarter that would be very helpful. And then secondly, it seems that the operations at Triton Knoll have gone well. Can you provide us an update on the Cascade development in progress? And if there are any sort of – if you have seen any supply chain issues in the current environment there? Thank you.
Thomas Denny: Maybe I take operating cash flow at the Q4 outlook that you asked for. I mean, we don't give specific quarterly guidance. And you know, our guidance for the earnings for the full year maybe based on last year's Q4 numbers, you can also think about further elements, which would lead you to cash flow, but please understand that we don't go into further details. And of course, the another element is CapEx as you say, and there we are in a significant growth program, which will of course include a lot of CapEx costs in Q4, but we don't nail it down to a single number. Therefore, please understand that we don't go into detail and maybe over to Michael for your question on supplier topics from Cascade but I'm not aware of any.
Michael Muller: And that's also something that we don't typically comment on kind of progress of individual projects.
Ahmed Farman: Okay. Thank you.
Michael Muller: Thanks. Are there further questions?
Operator: There are no further questions in the queue. So hand the call back to your host.
Michael Muller: Great. Thank you. Thank you all for dialing in. It has been a great call and a quick call, and looking forward to talking to you on Monday at the Capital Market Day. Have a good weekend and bye-bye.